Operator: Good day, everyone and welcome to the Genco Shipping & Trading Limited First Quarter 2016 Earnings Conference Call and Presentation. Before we begin, please note that there will be a slide presentation accompanying today’s conference call. That presentation can be obtained from Genco’s website at www.gencoshipping.com. To inform everyone, today’s conference is being recorded and is now being webcast at the Company’s website at www.gencoshipping.com. We will conduct a question-and-answer session after the open remarks, instructions will be given at that time. A replay of the conference will be accessible anytime for the next two weeks by dialing 888-203-1112 or 719-457-0820 and entering the passcode 4227073. At this time I will turn the conference over to the company.
Peter Georgiopoulos: Good morning. Before we begin our presentation, I note that in this conference call, we will be making certain forward-looking statements pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements use words such as anticipate, budget, estimate, expects, projects, plan, intend, believe and other words and terms of similar meaning in connection with a discussion of potential future events, circumstances or future operating or financial performance. These forward-looking statements are based on management’s current expectations and observations. For a discussion of factors that could cause results to differ, please see the company’s press release that was issued yesterday, the materials relating to this call posted on the company’s website and the company’s filings with the Securities and Exchange Commission, including, without limitation, the company’s Annual Report on Form 10-K for the year ended December 31, 2015, as amended and the Company’s reports subsequently filed with the SEC. At this time, I would like to introduce John Wobensmith, President of Genco Shipping & Trading Limited.
John Wobensmith: Good morning. Welcome to Genco’s first quarter 2016 conference call. With me today is our Chairman, Peter Georgiopoulos; and our Chief Financial Officer, Apostolos Zafolias. As outlined on Slide 3 of the presentation, I will begin today’s call by reviewing our first quarter highlights. We will then discuss our financial results for the quarter and the industry’s current fundamentals and then open up the call for questions. Moving to Slide 5, we review Genco’s first quarter highlights. Despite the recent uptick in freight rates, the drybulk market has remained challenging in 2016, today. During the first quarter, we recorded a net loss of $54.5 million, or $0.75 basic and diluted loss per share for the period ended March 31, 2016. As we mentioned on last quarter’s call, Genco has been in discussions with its lenders to address the liquidity and covenant compliance issues. As these discussions have continued we have entered into short-term agreements for waivers of the collateral maintenance covenants under certain of Genco’s credit facilities. In addition to the discussions we are having with our lenders, we are also considering a range of alternatives to strengthen Genco’s financial position. We realize there is a great interest in the details of these discussions and efforts, however as these are confidential we do not intend to provide updates or details of these discussions or efforts on an ongoing basis. In terms of our cash position as of March 31, 2016, we had $95.4 million in cash including restricted cash. Taking advantage of an improved freight rate environment during the month of April, we opportunistically fix three of our Capesize Vessels, the Genco Augustus, Genco Constantine and Baltic Bear on fixed rate time charters for approximately one year. The Genco Augustus and the Genco Constantine are fixed at rates of $780 per day, while the Baltic Bears fixed at a rate of $7,000 per day. Moving to Slide 6, we provide an overview of our fleet. Genco continues to drop on its sizeable modern fleet to meet the highest operational standards for its customers. Genco’s fleet consists of 70 drybulk vessels made up of 13 Capesize, eight Panamax, four Ultramax, 21 Supramax, six Handymax, and 18 Handysize vessels with a total carrying capacity of approximately 5.2 million deadweight tons. At this time, I would like to turn the call over to Apostolos.
Apostolos Zafolias: Thank you John. Turning to Slide 8, our financial results are presented. For the three months ended March 31, 2016, the company generated revenues of $20.9 million, versus $34.4 million for the same period of 2015. The decrease in total revenues for the first quarter as compared to the prior-year period was primarily due to lower stock market rates achieved by the majority of the vessels in our fleet, during the first quarter of 2016 versus the same period last year, marginally offset by the increase in the size of our fleet following the delivery of two Ultramax newbuilding vessels. For the first quarter of 2016, the company recorded a net loss of $54.5 million, or $0.75 basic and diluted loss per share. This compares to a net loss of $38.4 million or $0.64 basic and diluted loss per share for the first quarter of 2015. Turning to Slide 9, we present key balance sheet items as of March 31, 2016. Our cash position including restricted cash was $95.4 million as of March 31, 2016. Our total assets were $1.6 billion, which consisted primarily of the vessels in our fleet and cash. Our total debt outstanding excluding $8.9 million of unamortized debt issuance costs was $570 million as of March 31, 2016. During the first quarter of 2016, the company adopted recent accounting guidance, which requires debt issuance cost related to term loan facilities to be presented on the balance sheet as direct reduction from the debt liability, rather than as a deferred financing cost asset. As John mentioned, the Company entered into agreements for waivers of the collateral maintenance covenants under certain of its existing credit facilities, namely, the $253 million term loan facility, its $100 million credit facility and its $148 million credit facility. The waivers are currently in effect from May 31, 2016. Moving Slide 10, our utilization rate was 98.5% for the first quarter of 2016. Our TCE for the first quarter of 2016 was $2,629 per vessel per day. This compares to $4,977 per vessel per day recorded in the first quarter of 2015. The decrease in TCE was primarily due to spot rates achieved by the vessels – lower spot rates achieved by the vessels in our fleet during the first quarter of this year versus the first quarter of 2015. For the first quarter of 2016, our daily vessel operating expenses were $4,573 per vessel per day, versus $4,686 per vessel per day for the first quarter of 2015, primarily due to lower crew and maintenance related expenses. We believe daily vessel operating expenses are best measured for the comparative purposes over a 12-month period in order to take into account all of the expenses that each vessel in our fleet will incur over a full year of operation. Based on estimates provided by our technical managers and management’s views, our daily vessel operating expense budget for 2016 is $4,820 per vessel per day on a weighted average basis. I will now turn the call back over to John to discuss the industry fundamentals.
John Wobensmith: Thank you, Apostolos. I will begin with Slide 12, which represents the Baltic Dry Index. The BDI remained under pressure in the first quarter of 2016, reaching an all-time low of 290 on February 11. During the following months freight rates exhibited improvement as the index ended at 429. Further increases are registered in April, as the BDI crossed the 700 points threshold for the first time since November of 2015. Turning to Slide 13, we outlined some of the market developments influencing recent freight rate volatility. We believe several seasonal factors affected the freight market during the first quarter, which exacerbated the already fragile supply and demand balance. These factors include firm newbuilding deliveries, various cargo disruptions, experienced by major iron ore producers and the Chinese New Year celebration. Towards the end of March and into the second quarter freight rates have been supported by increased demand for iron ore cargoes together with the onset of the South American grain season. Despite a decline in the pace of shipments from Q4, 2015 as is seasonally the case, iron ore imports to China through April of 2016 have increased by 6% year-on-year. This was led by stronger volumes originating from Brazil and Australia. Turning to Slide 14, we highlight global steel production. After short decline during the first two months of the year, Chinese steel production reversed course in March, registering a 2.9% increase year-on-year. This increase was driven by the onset of the spring construction season, record low steel inventories and an output ban implemented inQ2 in the Hebei region due to World Horticultural Exposition. Steel prices have also risen by nearly 60%, since the start of the year, improving margins and incentivising production. Encouragingly, the annualized March figure of 834 million tons is greater than the record steel production registered in 2014 of 823 million tons. Although several nations have imposed protectionist measures on China, China steel exports, China’s shipments have still increased by approximately 9% year-on-year through the first four months of 2016. We do note that this is a slower pace from the 21% increase registered in 2015. Despite the firm March steel output total through Q1 2016, China’s steel production is still 3.2% lower year-on-year as the country continues to attempt to reduce excess capacity in the domestic steel industry, by cutting production at older, inefficient mills that generate greater emissions. Moving to Slide 15, on a similar trajectory, as domestic steel output, China’s domestic coal production fell 5% year-on-year in Q1, 2016. At the same time, China’s coal power plants stockpiles have also declined significantly, since the beginning of the year. While domestic production and inventories fell, China’s coal imports rose by nearly 16% year-on-year in March to 19.7 million tons, the highest monthly figure since July of 2015. The import total for April were treated marginally from the prior year months to the first four months of the year, China’s coal imports are only down 3% year-on-year, which is noteworthy, given the drastic declines in coal imports that were recorded over the past two years. India’s coal import growth over the past several months has been impeded by substantial coal power plant stockpiles together with increased domestic coal production. While India’s coal power plant inventories stands just under record levels, the last reported data points have shown a marginal decline. It remains to be seen, whether this is start of a trend. A positive occurrence in India, is that electricity production in March and April rose by 12% and 15% year-on-year respectively, including an all time high set in the month of April, this compares favorably to a growth rate of just 4% registered in 2015. On Slide 16 and Slide 17, we outlined current supply side fundamentals. Newbuilding deliveries spiked during January, as is seasonally the case, but then retreated to lower levels in subsequent months. However, vessel demolition activity remained firm throughout the entire period. As a result, while the world wide fleet grew by 6% annualized in January, deliveries have been offset by scrapping in the following months. Also assisting in slower fleet growth has been the record pace of slippage, currently taking place, as over 50% of the vessels scheduled to delivery in the year-to-date have not hit the water. Capesize and Panamax vessels have been the most prevalent scrapping candidate so far 2016, representing close to 80% of the 18.3 million deadweight tons demolished in the year-to-date. Younger vessels are also being scrapped when compared to previous years. The average demolition age has fallen substantially from 27 years, as recently as 2014 to 24 years so far in 2016. This has been highlighted by Capesize and Panamax vessels, which have an average demolition age of 21 years in the year-to-date, specifically five Capesize vessels, built in the early 2000s have been scrapped so far this year. Given the current market conditions in the side from the 30 Valemax orders reported in Q1, 2016 with expected delivery in 2018 and 2019, contracting activity has been almost non-existent. This has pushed the order book, as a percentage of the world wide fleet down to 15%, marking the lowest point since 2003. In conclusion, we note that in regard to the industry’s current supply side fundamentals, we continue to believe that high levels of scrapping, slippage, and cancellations, or additional conversions of newbuilding contracts are all essential components of reducing supply growth which could lead to a more balanced supply and demand equation going forward. This concludes our presentation, and we would now be happy to take your questions.
Operator: Thank you [Operator Instructions] And we’ll hear from Fotis Giannakoulis from Morgan Stanley.
Sherif Elmaghrabi: Hi, this is Sherif Elmaghrabi on for Fotis a few questions from me.
Peter Georgiopoulos: Good morning.
Sherif Elmaghrabi: Good morning. We saw a marginal improvement in rates at the very end of the quarter and into 2Q. Is this purely attributable to seasonal restocking in China and South American green season or are orders finally making up some ground? And is this uptake in rates causing orders to hesitate for scrapping their vessels I was looking at scrapping activity and it’s down between 20% and 25% in April versus the previous month?
John Wobensmith: Yes. I think – let me take your last question first $7,000, $8000 day cap rates are still well below most people saw casual breakeven. So I don't think that that uptick in the rates necessarily comps down on the scrapping side, I think heading into monsoon season is more of a seasonal factor on that. I think in terms of what led the rates to move up, we talked about it right. You definitely had iron ore imports, you can call it restocking but it is fundamental demand, you look at the spread between steel prices and the price of iron ore and that's very favorable. So you actually have mills making money for the first time in quite a while, which is why you’re seeing steel production increase. There is a seasonal factor definitely coming at the construction season. So that also has an effect. And then we also as we said you had a rise in coal imports towards the very end of the first quarter which took vessels out of the market. So I think it's – look we still have ways to go. Should we still think 2016 is going to be – is going to be a tough year in terms of freight rates? My guess is you'll see some more upward volatility some time during the year. But we still had supply issues that we need to get through, we still think that the scrapping is going to continue, it's sort of runway to sort of 55 million to 56 million deadweight ton. Our guess is it comes in maybe around 50 million in the end of the day. But until you have Capesize rates that are, our view, till your Capesize rates that are above 12, 13, I mean you look at all in OpEx, G&A and debt service for most companies and you're definitely in that 12 to 13 range on average.
Sherif Elmaghrabi: Got it, got it. It’s helpful. Thanks. I mean the months you think is insightful. You talked about the declining average scrapping age and we’ve seen some vessels, as young as 15 years all scrapped. Given that the number of the vessels in your fleet are older than that, what kind of economics you need to see to consider scrapping or is it just that off the table right now?
John Wobensmith: Yes I would say it’s off the table, it’s something that we look at consistently. I think you’ll see us, as ships get close to their special survey and their 20th year, we’re going to be looking at NPV analysis, in terms of what needs to go into that ship and where we think future freight rates are going. So, yes, we are definitely looking at it.
Sherif Elmaghrabi: Okay, I have covered all my questions. Thank you very much.
John Wobensmith: Welcome, thank you.
Operator: [Operator Instructions] Amit Malhotra of Deutsche Bank.
Amit Malhotra: Hi, guys, thanks for taking my question.
John Wobensmith: Hi.
Amit Malhotra: I had a question on the market in terms of buyers of drybulk assets, and there seems to be at least anecdotally or from – I mean I’ve been hearing as increased buyers in the market, whether it’s on a low LTV basis, or even an unlevered basis, especially for second hand tonnage and they could potentially be liquidity providers for owners that are – that have been in towards sort of this downturn for awhile now. If you could just sort of offer some insight on that in terms of other. Are you seeing more buyers in the market and is that maybe something you guys are looking at, given sort of the scale of your fleet, as potentially providing additional liquidity. Thanks.
John Wobensmith: Yes, I mean first of all I don’t think it’s anecdotal there is definitely liquidity back in the drybulk market, you can pick up the sale and purchase report and look at weekly sales and you will see quite a few that are taking place. This is a phenomenon that’s really only happened or come back to normal, in the last few months. Before you had particularly at the beginning of the year you had a really wide bid outspread and know – I think people had a hard time determining where values really were. What we have seen and view this as positive is that you’ve had a stabilization of asset prices, albeit they are at historical lows. But there is liquidity in the market, the bid outspread is narrow and ships are changing hands, which is good. As far as, we’re concerned, look we have a lot of, I think a lot of options that we’re looking at in terms of strengthening the balance sheet, as I said. And to go into anything specific is probably a little premature, right now. But we’ve made – it’s no secret and that we’re in conversations with our banks and we’re looking at several other alternatives.
Amit Malhotra: Yes. I totally appreciate that. May I can ask you a higher level question related to that in terms your specific fleet. When you sell a ship it doesn’t necessarily means that you get any net proceeds from maybe you lower the liability and you lower the perspective cash burn associated with that ship in this current market. But if you guys were to sell vessels, do you have sort of unencumbered vessels or generally speaking, when you do so sell a vessel could there be actual net proceeds that accrue to the cash balance to sort of further standout the runway?
Apostolos Zafolias: Yes, I mean look first of all we have six unencumbered vessels right now. I would say they are some of the older ship. In terms of selling ships most of those proceeds would go to repay debt as you pointed out. And look if that is a strategy that we would pursue, you probably want to talk to the banks a little bit about how to go about that and may be negotiate something outside of what's in the documents.
Amit Malhotra: Got it, okay. Let me just ask you one industry question and then I'll hop off. Last time I think it was on may be another call but we mentioned charters making a distinction between vessels that companies that have, owners that have leverage and things like that and maybe being a little bit more selective. And I don't know if that's increased or decreased your sales damage. You just provide us an update in terms of how difficult is it for Genco or any other sort of large drybulk company with some leverage to actually find employment for their vessels and is it just a harder discussion in this type of market?
John Wobensmith: Well look I’ll talk generally because I – we don't know exactly what goes on in every company but I do think charters are discriminating against companies that haven't performed in the past or have high leverage profiles. Yes I think that’s going on I mean look we've been fortunate we just did three Capesize fixed rate charters for approximately a year on all three. So it's but yes I mean I think there are a lot of companies that are struggling with that.
Amit Malhotra: Yes. Okay, great thanks for taking my questions. I appreciate it, good work guys.
John Wobensmith: Okay, thank you.
Operator: And there are no further questions at this time. That does conclude today’s conference. Thank you all for your participation.